Operator: Good morning. My name is Vicky, and I will be your conference operator today. As a reminder, this call is being recorded. At this time, I would like to welcome everyone to Timken's Second Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. And Mr. Hershiser, you may begin your conference.
Jason Hershiser - The Timken Co.: Thanks, Vicky, and welcome, everyone, to our second quarter 2017 earnings conference call. This is Jason Hershiser, Manager of Investor Relations for The Timken Company. We appreciate you joining us today. If after our call, you should have further questions, please feel free to contact me directly at 234-262-7101. Before we begin our remarks this morning, I want to point out that we've posted on the company's website presentation materials that we will reference as part of today's review of the quarterly results. You can also access this material through the download feature on the earnings call webcast link. With me today are The Timken Company's President and CEO, Rich Kyle; and Phil Fracassa, our Chief Financial Officer. We will have opening comments this morning from both Rich and Phil before we open up the call up for your questions. During the Q&A, I would ask that you please limit your questions to one question and one follow-up at a time to allow everyone an opportunity to participate. During today's call, you may hear forward-looking statements related to our future financial results, plans, and business operations. Our actual results may differ materially from those projected or implied due to a variety of factors, which we describe in greater detail in today's press release and in our report filed with the SEC, which are available on the timken.com website. We have included reconciliations between non-GAAP financial information and its GAAP equivalent in the press release and presentation materials. Today's call is copyrighted by The Timken Company. Without expressed written consent, we prohibit any use, recording or transmission of any portion of the call. With that, I would like to thank you for your interest in The Timken Company, and I will now turn the call over to Rich.
Richard G. Kyle - The Timken Co.: Thanks, Jason. Good morning, everyone, and thanks for taking the time to join us today. We posted good performance in the second quarter as we responded well to the increase in demand and delivered double-digit revenue and earnings growth. Our second quarter revenue came in stronger than what we had anticipated coming into the quarter, up 11% from the prior year. We grew 7% sequentially from the first quarter with 5% of that increase resulting from organic growth. The strength was broad based with all major geographies and most end markets showing sequential and year-on-year improvement. Off-highway equipment markets, industrial distribution and Asia were all particularly strong. From prior expectations, heavy industries and heavy truck, both shifted from neutral to positive, and currency shifted from negative to neutral. For the second half, we now expect revenue to approximately hold at second quarter levels before the benefit of acquisitions and the impact of seasonality. Normal revenue seasonality would be a slight step down in the second half for Mobile, primarily due to holidays and OEM build schedules, including automotive, and normal revenue seasonality would be a slight step up in the second half for Process on stronger MRO, distribution and service revenue. Also, as a general statement on our markets longer term, the positive shift in sentiment that took place in late 2016 continues and many of our customers are increasingly optimistic about 2018. On the bottom line, earnings per share was up 15% from prior year and up 23%, sequentially. We delivered 120 basis points of margin expansion from the first quarter level, driven by good margin improvement in Process Industries on the increased volume. We're forecasting that we will hold these higher margin levels for the rest of the year for Process and deliver close to the low end of our corporate target margin range of 11%. In Mobile, the benefit of improved volume was more than offset by several factors that included unfavorable mix driven by rail, material costs, plant start-up costs, OEM pricing carryover from 2016, as well as some inefficiencies in our volume ramp-up. We expect Mobile margins to improve slightly from second quarter levels in the second half of the year, with the benefits of improved operational performance and price recovery being partially offset by seasonality and continued softness in rail. And we should enter 2018 in a more positive pricing environment for Mobile than what we have experienced the last several years. It was a very active quarter for us from a capital allocation standpoint. First, we paid our 380th consecutive dividend and increased our dividend payout by 4%. We also repurchased 400,000 shares in the quarter. But most notably, we closed on three acquisitions and announced a fourth. We added to our coupling product line with the acquisition of Torsion Control Products. I spent some time on Torsion Control Products during the last call, so I won't say much on it today, except that the integration is on track and the business is running ahead of plan. We also entered a new product space, industrial brakes and clutches, with the acquisition of PT Tech. PT Tech is a relatively small step for us into this product category, but it has good expansion possibilities and we believe the product line is a good strategic fit. It's early, but again, we are running ahead on both cost reduction and revenue targets a couple of months in. We also completed the acquisition of Groeneveld in early July, which makes us a leader in mobile equipment automatic lubrication systems. Like we just did with PT Tech in brakes and clutches, we made a small step in lubrication systems several years back with the acquisition of Interlube. Interlube has been very successful strategically and financially, which gave us the confidence to make this much bigger move. It's too early to give much in the way of specifics on the synergies, but the early findings on the business are encouraging and their markets look strong for the rest of the year. Automatic lubrication systems offer customers a good value proposition, improving the longevity of their equipment, as well as lowering total costs of ownership. While lubrication systems are found in the same equipment and vehicles as bearings, they're generally sold through different channels and are typically sold as an equipment upgrade versus factory installed, which gives us expanded access to the end user in Mobile Industries. And finally, we announced the planned acquisition of ABC Bearings in India, which we hope to complete in early 2018, following local approvals. I break down the synergies for ABC Bearings into three categories. First, ABC Bearings is a manufacturer of tapered roller bearings. And for tapers, the acquisition will grow our India market position, but more importantly, it will expand our low-cost manufacturing capabilities for global markets. We have been increasing our export business out of India for several years and this will accelerate those efforts. Second synergy, today Timken only produces tapered bearings in India. ABC Bearings produces an array of other types of roller bearings, such as spherical. And this will provide us an expanded market position in India, along with local manufacturing capabilities for those products. And then, the third synergy is the cost synergy from combining the companies. We look forward to the closing in 2018. In regards to our operational excellence initiative, we continue to advance our footprint. We began customer shipments out of our new plant in Romania in the quarter, which will be ramping up through the remainder of 2017. We also completed the second of three planned plant closures with the third facility to be completed by year-end. Despite the very active capital allocation quarter, our balance sheet remains strong. We will generate good cash flow in the second half, and we're in an excellent position to continue to create value through capital allocation. In regards to outgrowth, for the full year, we're now guiding sales to be up 11%. With 7% of that organic, we expect our organic outgrowth initiatives to stack up well versus our industry peers. We are now guiding earnings per share to be up 20% at the midpoint and we remain focused on our outgrowth operational excellence and capital allocation strategies to continue to deliver customer and shareholder value. And with that, I will turn it over to Phil.
Philip D. Fracassa - The Timken Co.: Okay. Thanks, Rich, and good morning, everyone. For the financial review, I'm going to start on slide 14 in the deck. Timken delivered strong performance in the second quarter, which you can see summarized on this slide. Revenue came in at $751 million, up over 11% from last year. EBIT was $82 million on a GAAP basis, but when you back out adjustments for the quarter, adjusted EBIT was $84 million or 11.2% of sales. Earnings per diluted share in the second quarter were $1.04 on a GAAP basis, after adjustments. Including a $30 million tax benefit, adjusted EPS was $0.68, up 15% from last year. Turning to slide 15, let's take a closer look at our second quarter sales performance. Organically, sales were up 8% from the prior year, reflecting increased demand across the industrial markets, led by off-highway and industrial distribution, offset partially by continued weakness in rail. Acquisitions added $26 million of revenue in the quarter, or almost 4%. Currency was only a slight headwind in the second quarter. Sequentially, our sales were up around 7% from the first quarter, reflecting continued strengthening in the industrial markets, recent acquisitions as well as normal seasonality. On the right-hand side of this slide, we outline sales performance by region, excluding the impact of currency. All of our regions delivered solid performance in the quarter as sales were up across the globe. Let me touch on each region briefly. In North America, the increase was led by off-highway and aerospace and the impact of acquisitions, offset partially by lower revenue in rail. In Asia, the increase was led mostly by industrial distribution and off-highway. The increase in Europe was driven by higher Process Industries demand with acquisitions also contributing. And in Latin America, we were up in industrial distribution, but down in rail. Turning to slide 16, adjusted EBIT in the quarter was $84 million, up from $76 million last year. The increase in the quarter was driven by higher volume, favorable manufacturing performance, acquisition and currency, offset partially by unfavorable price mix and higher material, logistics and SG&A costs. Our adjusted EBIT margin in the quarter was 11.2%, down 10 basis points from last year. On slide 17, you'll see that we posted net income of $83 million or $1.04 per diluted share for the quarter on a GAAP basis. On an adjusted basis, our net income was $54 million or $0.68 per share, up 15% from the $0.59 per share we earned last year. In the second quarter, our GAAP tax rate was negative 11% or a net tax benefit on pre-tax income. This was driven by a $30 million benefit recognized in the quarter related to a reversal of prior year tax accruals. This benefit was triggered by an audit settlement and the expiration of the statutes of limitation for the affected years. On an adjusted basis, our tax rate was 29.6%, down from 31% last year. Our year-to-date adjusted tax rate of 30% is based on our forecasted geographic mix of adjusted earnings, and we expect to maintain this 30% adjusted tax rate for the remainder of the year. Now turning to slide 18. Let's take a look at our business segment results, starting with Mobile Industries. In the second quarter, Mobile Industries sales were $408 million, up 11% from last year. Acquisitions added $11 million of revenue in the quarter or almost 3%. This includes TCP, PT Tech and a small portion of Lovejoy. Organically, sales were up over 8% in the quarter, as we saw increased demand in the off-highway, aerospace and heavy truck sectors, offset partially by continued weakness in rail. Looking a bit more closely at the markets, the strength in off-highway was led by the mining and agriculture sectors. The increase in aerospace was driven primarily by higher defense-related shipments. Heavy truck was roughly flat in North America, but up across the rest of the world. And in rail, we continue to feel the effects of the decline in North American freight car builds. For the second quarter, Mobile Industries' EBIT was $34 million. Adjusted EBIT was $36 million or 8.8% of sales compared to $40 million or 10.8% of sales last year. The decline in earnings reflects higher operating costs and unfavorable price mix, offset partially by the favorable impact of higher volume and acquisitions. As Rich mentioned, Mobile Industries' margins were adversely impacted by a number of factors in the quarter, including price mix, the pace of the demand ramp, new plants coming online in Eastern Europe, as well as the impact of higher material costs, with our surcharge recovery mechanisms lagging, as they typically would, at this point in recovery. We do expect Mobile margins to improve from second quarter levels during the second half. Our outlook for Mobile Industries is for 2017 sales to be up 11% to 12%. Organically, we're planning for sales to increase 5% to 6%, led by improved demand in the off-highway and heavy truck sectors, offset partially by declines in rail. We expect automotive and aerospace to be relatively flat for the year. Acquisitions, including the recent Groeneveld acquisition, should increase revenue by around 6% and we expect currency to be relatively flat for the year. Now, let's turn to Process Industries. Slide 19 shows that Process Industries' sales for the second quarter were $342 million, up 12% from last year. Acquisitions added $15 million of revenue in the quarter or almost 5%. This includes Lovejoy and EDT. Organically, sales were up almost 8%, reflecting increased demand in industrial distribution and heavy industries. Looking a bit more closely at the markets, in industrial distribution, where all regions were up, Asia saw the largest increase year-on-year. And at June 30, our incoming order rates and backlog were up year-on-year and slightly up sequentially from the first quarter. The improvement in heavy industries in the quarter was seen across several sectors, including metals, and wind energy was roughly flat, with growth in Europe being offset by lower shipments in North America and Asia. For the quarter, Process Industries' EBIT was $60 million. Adjusted EBIT was also $60 million or 17.6% of sales compared to $49 million or 16% of sales last year. The increase in earnings was driven by the favorable impact of higher volume, manufacturing performance and acquisitions, offset partially by unfavorable price mix and SG&A expenses. Our outlook for Process Industries is for 2017 sales to be up 10% to 11%. Acquisitions should increase revenue by about 2.5%, while currency is expected to be roughly flat for the year. So, organically, we're planning for sales to be up roughly 8%, driven by broad-based growth across most end market sectors. Turning to slide 20, you'll see that net cash from operating activities was $68 million during the quarter. After CapEx spending of $21 million, free cash flow for the quarter was around $47 million. Note that the year-ago period included $48 million of CDSOA receipts. Excluding those receipts, free cash flow was down about $34 million from last year, driven by higher tax payments and operating working capital. But note that operating working capital as a percentage of sales improved by over 100 basis points in the quarter. From a capital allocation standpoint, we invested $21 million in CapEx and returned $40 million to our shareholders through the payment of our quarterly dividend and the repurchase of 413,000 shares. In may, we increased our quarterly dividend by 4% to $0.27 per share. We also spent $64 million on the TCP and PT Tech acquisitions. And in July, we closed on the Groeneveld acquisition. We finished the quarter with net debt to capital at 28%, roughly flat from the end of 2016. Note that we had almost $450 million of cash on hand at the end of the second quarter. Most of this reflects a draw at the end of June from our revolving credit facility to fund the Groeneveld acquisition, which closed on July 3. We expect to term out most of the acquisition debt sometime in the third quarter. With the Groeneveld acquisition, our net debt to capital is now near the midpoint of our targeted range of 30% to 45%. I'll now review the outlook on slide 21. As Rich mentioned, in the first half of the year, we saw strengthening in several of our end markets, while the rail sector continue to weaken. In the second half, we're planning for our markets to hold at these levels before taking into account normal second half seasonality, including fewer shipping days. Accordingly, we're now planning for 2017 revenue to be up approximately 11% from 2016. Organically, we're planning for revenue growth of 6% to 7%, and acquisitions should add roughly 4.5% to revenue. With the recent weakening in the U.S. dollar, currency is now expected to be roughly flat for the year. On the bottom line, we estimate that earnings per diluted share will be in the range of $2.60 to $2.70 per share on a GAAP basis. Excluding adjustments totaling $0.10 of income per share for the year, we expect adjusted earnings per share to be in the range of $2.50 to $2.60, which at the midpoint is up 20% from 2016. Adjustments include the $30 million tax benefit I discussed earlier, offset partially by restructuring, acquisition-related and pension-related charges. I'd note that the $0.10 does not include any potential second half mark-to-market pension adjustments, which won't be known until later in the year. Our 2017 full-year outlook implies an adjusted EBIT margin of around 11% at the corporate level, up around 70 basis points from last year. And finally, we estimate that we'll generate free cash flow of around $210 million in 2017, or more than 100% of adjusted net income. So, in summary, it was a solid quarter. Our guidance reflects our expectations that markets remain strong in the second half. And I know I speak for the entire Timken team when I say that we're excited about the opportunities that lie ahead. And with that, we'll conclude our formal remarks and open the line for questions. Operator?
Operator: Yes. Thank you. And we'll take our first question today from Stephen Volkmann with Jefferies. Please go ahead.
Stephen Edward Volkmann - Jefferies LLC: Hi. Good morning, guys.
Richard G. Kyle - The Timken Co.: Good morning.
Philip D. Fracassa - The Timken Co.: Good morning, Steve.
Stephen Edward Volkmann - Jefferies LLC: Maybe I'll just dive in a little bit on the Mobile and try to figure out a little bit more on the pricing there. So, one of your large competitors sort of complained a little bit about pricing in their quarter. And it's hard for me to tell, it doesn't seem like you're seeing quite the same thing there. And I think one of you, maybe it was Rich, said you expected pricing in that sector to be better in 2018. I'm just curious if you can kind of provide a little more color there, and then, specifically, why would it be better in 2018?
Richard G. Kyle - The Timken Co.: So, let me take pricing company-wide, and then, at the end, make some comments between Mobile and Process. So, as you know, Steve, we've been in a – really entering 2017 was the third year of entering a relatively weak pricing market. So, we were down, call it, 100 bps last year; came into this year guiding that we'd be down in the 50-ish bps area, again, on weak – relatively weak – a weak pricing environment from a demand standpoint. And over the last few years, it's been a small headwind, but part of that is the pass-through of material pricing with OEM contracts, and then part of it was just a demand situation in terms of being able to drive pricing through either the aftermarket or the OEM in what had been a contracting market. So, that shifted for us from a contracting market to an expanding market as we entered the first quarter. Believe, as we go into 2018, that will also be a much better demand situation for us to drive some pricing through OEMs. And then, where we have the ability to move pricing midyear, we are actively doing that and expect to receive some benefit of that in the second half; although, it'd be nominal in the third quarter and it'll be more towards the latter part of the year. And then, the other element where we have OEM contracts, where we have material pass-through – use the U.S. as a indicator. I think the scrap price last year averaged around $240. It's up about 50% from that in the second quarter. And we generally – our mechanisms generally lag a quarter; sometimes a half year, but usually a quarter. So, we would expect to see benefit from that on pricing in the second half of the year as well. So, split out between Mobile and Process. The majority of the Process business, we can move pricing at time of order. We generally don't reprice backlog, but we can move pricing there faster and more – less of it is tied to OEM pricing agreements. Mobile, a higher percentage of that business is tied to Mobile OEM price agreements. Anything that we have there that goes over a year, we have material pass-through. And sometimes we have some risk within a year of not being able to pass that through, but most of our large OEM contracts have some material pass-through. And then, the predominance of them are on a calendar basis; so, hence the statement that we would look to move pricing more in 2018 in Mobile than what you would see in 2017. But let me throw it back to you to see if you've a follow-up on any of that, Steve.
Stephen Edward Volkmann - Jefferies LLC: Yeah. No. That's super helpful. I guess, sort of semi-related follow-up is I think each of you made some commentary relative to margins in the two segments in the second half. And I think, Phil, you said that you thought Mobile would improve in the second half and I wasn't quite clear on what you thought was going to happen in Process; so, maybe just a little more color there.
Richard G. Kyle - The Timken Co.: Yes. Let me – we are looking to improve off the second quarter run rate in Mobile. In Process, we're roughly looking to hold the margin levels that we established in the second quarter. And then, just to close out the pricing, we do expect price to be a little more favorable in the second half and we are actively moving pricing. And then, the final comment on prices I thought of, the other thing, I think, that's a little different for us than our competitors, over the last couple of years, from a competitive standpoint, currency was working against us and made us – put us in a tougher position than our global competitors, as a general statement. And that's one, really this year, at worse, it's been neutral and, as of recent, it's actually been a favorable for us where we have some more ability to, I believe, move some pricing, and we're actively looking to do so.
Stephen Edward Volkmann - Jefferies LLC: Super. That's helpful. Thank you.
Philip D. Fracassa - The Timken Co.: Thanks, Steve.
Operator: And the next question comes from Sam Eisner with Goldman Sachs.
Samuel H. Eisner - Goldman Sachs & Co. LLC: Yeah. Good morning, everyone.
Richard G. Kyle - The Timken Co.: Good morning.
Philip D. Fracassa - The Timken Co.: Good morning, Sam.
Samuel H. Eisner - Goldman Sachs & Co. LLC: So just wanted to understand a little bit more these costs and kind of the implications in the back half of the year. So, if I look at incremental margins or implied incremental margins in the second half, I think we're targeting something in the range of around mid-teens versus the first half of the year only around 10% or 11%, so not a huge step-up embedded in there. Just curious why are we not seeing as much of a kind of incremental margin acceleration particularly as processes is increasing in the mix of the company and price is supposedly supposed to be better in the back half of the year?
Philip D. Fracassa - The Timken Co.: Yeah, Sam. This is Phil. I'll take that. So as we think about it, just a couple of things. So, as we talked about, we're going to have normal seasonality in the second half of the year. So, organically, we'd expect revenue to be down slightly from the first half and, obviously, acquisitions coming in, putting us net up second half versus first half. So, we do have a seasonality factor. But to answer your question about incrementals, as we look at it, and we'll have to maybe compare notes after the call, but we would say that the rest of your incremental is probably, at least organically, would be more in – the year-on-year incrementals would be more in that mid-20s range, if you will, and probably average in high-teens for the year. And so, we would expect some year-on-year improvement in the second half. And I think keep in mind, just as we look first to second, we do expect, as Rich mentioned, some of the price recovery to kick in, little bit better execution, although we would expect some of the issues relative to logistics and the ramp, et cetera, to exist into the third quarter. And then, obviously, the acquisitions coming in. Processes now will be, obviously, a benefit for us. The headwinds, as I mentioned, will be the normal seasonality in the Mobile side with volumes being down. And then we do expect material to be worse – a little bit worse, sequentially, first to second, so we've got that as a bit of a headwind as well. So, as we – you kind of blend it all together, as Rich mentioned, we're expecting second half margins to be kind of in line with the second quarter at the corporate level, and then with the segment split, as Rich talked about.
Samuel H. Eisner - Goldman Sachs & Co. LLC: Got it. And maybe just going back to the EBIT walk that you guys provide on slide 16. I think you show materials and logistics, an $8 million headwind; SG&A and other, an $8 million headwind, so $16 million headwind combined. Is there a way to kind of disaggregate those larger buckets? In particular, you called out the impacts in the Mobile segment, the start-up of the Romania facility. Is there a way to kind of put some additional color on what those various pieces are that's kind of dragging down the overall kind of contribution?
Philip D. Fracassa - The Timken Co.: Yeah. Probably, difficult to disaggregate too much, because we do provide a lot of color there. But I would tell you, the material and logistics hitting Mobile a little harder than Process, and obviously the manufacturing was a benefit on slide 16, and obviously more of a benefit in Mobile than in Process, just because of some of the execution issues we discussed. And then on the SG&A, I think that's – that generally can – that can differ across the segments, probably a little bit more in Mobile, but not meaningfully. And that includes things like incentive compensation and then other higher spending to support the higher sales levels.
Samuel H. Eisner - Goldman Sachs & Co. LLC: All right. Maybe just last one, in terms of July trends, given that we're through the quarter – through the first month of the quarter, just curious any kind of commentary that you guys can provide across the business? Are you seeing – you commented that back half of the year is meant to be stable from the second quarter, but is there a way to kind of give some additional details on a per segment basis for July? Thanks so much.
Richard G. Kyle - The Timken Co.: Yeah. I would say the order backlog – well, first, I'd say, in the last two quarters, we've been low, right. So, we were not expecting to be where we're at today from a revenue standpoint six months ago. And I would say, the order shipping rates sequentially from the beginning of the second quarter through the end of the second quarter improved. And July is – would give no signs of that slowing. July tends to be a little bit of a tough month to – it generally tends to be a weaker month, you have the U.S. holidays and often beginning of some OEM slowdowns in Europe as well, but it looks pretty good.
Philip D. Fracassa - The Timken Co.: Yeah. Operator?
Operator: Yes. We'll now go to Joe O'Dea with Vertical Research Partners.
Joseph John O'Dea - Vertical Research Partners LLC: Hi. Good morning.
Richard G. Kyle - The Timken Co.: Good morning.
Philip D. Fracassa - The Timken Co.: Good morning, Joe.
Joseph John O'Dea - Vertical Research Partners LLC: Can you just talk a little bit, I guess, about the pricing set up within Mobile and on the OEM side? I think what you're talking about is that a lot of those are calendar based, and so just trying to think about, you get the stronger demand environment, looks like that carries into the second half of the year. But is it kind of set up where it's more of a Jan 1 (32:00) transition to see some of the better pricing power that you should get just given where demand levels are?
Richard G. Kyle - The Timken Co.: Yeah. So, we have, across the company, a lot of different pricing mechanisms. And even within Mobile and Process, we have different pricing mechanisms. But definitely more in Process is – we can move pricing faster with less restrictions on contracts in Process than in Mobile. So, over half the business in Process, we can move pricing. When we make those decisions in Mobile, more than half would be on some sort of contractual pricing agreement that has a expiration. But the majority of those pricing agreements in Mobile have material pass-through agreements within them, which means when scrap goes from $240 to $350 in the following quarter, we're going to pass that on. So, even where that – and again, that happened essentially in the second quarter. So, we would expect to see the benefit of that in parts of the Mobile business in the third quarter. There's other parts of the Mobile business where we can move pricing when we make that decision as well. Where we can't move it, there are multiple areas there, where some of it is distributor list pricing, some of it is spot quote business that you get an opportunity to quote something here and there. And again, in all those cases, we are actively working to move prices not only to recover material costs that have stepped up this year, but also improve margins.
Joseph John O'Dea - Vertical Research Partners LLC: Thank you. And then, thinking about the Groeneveld acquisition, and you talked about the revolver, and I think transition to terming that out, but not sure given the free cash flow expectations for the year, and apologies if I missed it, but what the alternate expectation is for the split between cash and debt on that, just as I think about kind of modeling out the interest expense side of things?
Philip D. Fracassa - The Timken Co.: Yeah. Joe, this is Phil. So, what we will use, some cash to funding acquisition, but the majority of it will be termed out. And I would expect a mix of shorter term pre-payable debt that we can pay down as we generate cash, and then probably a portion to be longer term. And then, obviously, it was a European acquisition, so would it be in euro, we're going to look at euro-based financing. So, from an interest standpoint, something blending in the 2%-ish kind of range would probably put you in the ballpark.
Joseph John O'Dea - Vertical Research Partners LLC: That's helpful. Thanks. And sorry, one last one just on, I did not see you call out logistics as a headwind last quarter in terms of supply chain tightness that you could have seen develop over the course of the quarter. Could you speak to that? And then kind of a timeline for relief that you would expect from some of those higher costs?
Richard G. Kyle - The Timken Co.: Yeah. Let me take that on in regards to Mobile margins in totality, because I would not put logistics costs as the biggest issue within Mobile margins and getting those margins back into the double-digit range. Within Mobile margins, first, we've had mix issues. Our rail business mixes us up in Mobile and rail was down north of 20% last year, was still down north of – was down double digits through the first half of this year. So, we've still been chasing that down. Not only is it mixing us down, but we're working obviously to get the costs out as that comes down. That will level off and certainly could have leveled off today, as we look at it. And at some point, that will come back and mix us back up as well. But that's been – if you look over an extended period, probably our biggest challenge with Mobile margins has been a significant decline in our global rail business. Next, I'd say is the price lagging costs, and again expect to see some benefit of that in the second quarter. SG&A is up a little across the company. Phil mentioned compensation has moved from a tailwind to a headwind. So, that's a little bit of it. And then, I would say, the plant start-up costs and I would say those were planned and that was not anything that was a surprise to us. But we have a brand-new plant and the overhead that goes along with that with relatively small volume. That is getting better and will continue to get better through the course of the year. Actually, we have two new plants in there. We also have the small rail joint venture that we have in Russia is coming online as well. So, the combination of those will continue to improve through the course of the year. And then, to your original question, I would lump logistics in with some general operational efficiencies that certainly would have liked to have done better; but, we did jump up a fair amount from Q4 to Q1, and then again Q1 to Q2. So, we've had some freight premiums, some over-time, some shifts in production between plants that we weren't planning on coming into the year, some new labor coming online. And we expect all that to get better through the course of the year.
Joseph John O'Dea - Vertical Research Partners LLC: Really appreciate the details. Thank you.
Philip D. Fracassa - The Timken Co.: Thanks, Joe.
Operator: And we will take the next question from David Raso with Evercore ISI. Please go ahead.
David Raso - Evercore ISI Group: Hi. Good morning.
Philip D. Fracassa - The Timken Co.: Hey, David.
David Raso - Evercore ISI Group: Just trying to think about, and I know – well, I'm not looking for 2018 guidance. But obviously the way the stock's reacting today, people are trying to get comfortable. There's enough leverage here when you have the revenue growth. So, knowing what you know about your pricing initiatives, if they do stick and your commodity costs from the year-end sort of just play out as you have them forecasted, how should we think about the incremental margins in Mobile? And that's, obviously, a bit of a 2018 comment, but the next two quarters, it looks like we're expecting incrementals on Mobile to be, call it, mid-teens or so, while Process drags up the whole company. But how should we think about Mobile incrementals, if you were in our shoes, trying to model 2018 Mobile?
Richard G. Kyle - The Timken Co.: Yeah. So, let me start with a broader answer versus maybe the short-term incremental. So, last year, we were – our target margin range for Mobile is in the 10% to 12%. We believe we can grow the business successfully in that range. Also, I'd say, what we've been doing with acquisitions should mix us up a little bit with that as well. Groeneveld is a little bit of a different Mobile business than our Mobile bearing business. We were nominally under that last year; looking to be under that this year. But we remain very committed to getting into that range and would expect over cycles that tend to be a low point and to get up more towards the 12% range in a good, sustained market. Now, whether you believe that's going to happen in 2018 or not, in terms of how long that run goes, is probably something we're not real well prepared to talk about today.
David Raso - Evercore ISI Group: I was thinking of it as much so on incremental margins. I mean, not to bore you here with numbers, but I'm just trying to think of this as, what the stock wants to feel, hey, we can clearly get through $3 next year, ideally $3.25. Process seems to be doing what it needs to do. I mean, next year, if you model Process up 5%, you keep incrementals in the mid-30s, that adds $0.20-plus. Mobile, you're going to have 4% growth just carry over from the acquisitions. Throw on 6% organic, I get 10% growth. If I can do 25% incrementals, you're well over $3; and then, let's see what the balance sheet could do to maybe add another nickel or dime. So, I think the comfort for investors on the call right now is do you feel the incrementals with price initiatives in Mobile, is it appropriate to think of it as a 25% incremental margin business?
Philip D. Fracassa - The Timken Co.: Yeah, David. This is Phil. Again, I think we'd like to go back to the margin range, the 10% to 12%, I would tell you, we would expect – some of the headwinds we're catching this year are not things that you'd expect to catch to the same degree every year. So some of the things Rich talked about relative to some of – the premium freight and the incentive competition and the like. So I think the short answer is we think we can run better incrementals in Mobile than we're running this year, but really relative to 2018, would not want to put a number on it at this point.
David Raso - Evercore ISI Group: Well, said another way, I'll give one last try at this on the mix, then. Let's say, auto next year, you would think, would clearly not be a growth driver; if not – could be down. It sounds like another year of off-highway and on-highway. Rail next year, by no means, is going to be a good year, but let's say it's a little less of a drag than this year. What's the implications of rail being less of a drag next year than this year on margins? Is that a net positive?
Richard G. Kyle - The Timken Co.: Yes. And I think you hit it pretty accurately. We would not – as you sit here today, would not think automotive globally, for us, probably at best case, is holding in. And if it does grow, it's going to be probably a very small single digit; more likely, probably a down number. Heavy truck and off-highway will, certainly, at this point, looks like would carry momentum into next year. And whether rail has momentum up or not, I would expect rail coming out of the second half of this year to be better for us, because our cost structure will be different. And I think, at minimum, we will have bottomed as you look at where our business is there.
David Raso - Evercore ISI Group: That's helpful. I appreciate the time. Thank you.
Philip D. Fracassa - The Timken Co.: Thanks, David.
Richard G. Kyle - The Timken Co.: Thanks, David.
Operator: We'll now go to Justin Bergner with Gabelli & Company.
Justin Bergner - Gabelli & Company: Well, good morning. Thank you for taking my questions.
Philip D. Fracassa - The Timken Co.: Hi, Justin.
Justin Bergner - Gabelli & Company: Hi. Just it might be helpful to understand sort of the margin headwinds, particularly on the price costs side, in terms of how they're different between Mobile and Process. I'm not sure I fully understand the differentiation there, so any color would be helpful.
Richard G. Kyle - The Timken Co.: Yeah. I'd say, short term, the biggest difference is, again, probably the speed at which we can implement. Mobile tends to be over half tied to contracts. Process over half time – price at time of order. So, we can take action faster in Process. And then second, I would say, Process for us is a business in total that has more pricing power due to the fragmentation piece of it, the aftermarket piece of it, some of the technical competitive differentiators, et cetera. So, I think, all of the things that make our margin targets in those two businesses some 700 basis points different, much of that are as a result of pricing power within those businesses and competitive dynamics, and then throw on top of it, timing. But again I want to reinforce, we are actively working to move pricing in Mobile Industries. And with the market momentum we have, believe we will be able to do that and we've done it before.
Justin Bergner - Gabelli & Company: Okay. My second question relates to the comment that you made coming out of the first quarter that your guidance was sort of predicated on sort of flat sequential trends, adjusting for sort of normal seasonality. Obviously, you've seen a step up in the second quarter in terms of demand trends. Is the second half sales guidance sort of taking the second quarter level, I'm assuming flat trends adjusted for normal seasonality?
Richard G. Kyle - The Timken Co.: Yeah. Very much so. I would say, the logic that we applied in the first quarter that we underestimated for the second quarter and rest of the year, we've largely applied again and factored seasonality in over the top of it.
Justin Bergner - Gabelli & Company: Okay. That's helpful. And then finally, just I'm not sure if this was mentioned earlier, because I might have hopped on a few minutes late. But the other income line in the income statement of $4.5 million, could you sort of just provide a little detail there? I assume some of that is the gain on sale of real estate, but just any color would be helpful.
Philip D. Fracassa - The Timken Co.: Yeah. Sure, Justin. This is Phil. Yeah, you're right that there's gain on sale of real estate in that number. And there's also some other – few other items that get adjusted out. So when we look year-on-year, there's probably a slight improvement on that line. But probably the biggest thing you'd see on that line would be the gain on the sale of the South African facility.
Justin Bergner - Gabelli & Company: Okay. But outside of that gain on sale, there's nothing sort of that is unexpectedly materially boosting sort of your earnings view through the other income line?
Philip D. Fracassa - The Timken Co.: Yeah. So if you take away all the special items, if you will, there's a slight improvement year-on-year on that line and it's predominantly – we talked about currency being a benefit. We had some currency losses hitting on that line last year, didn't repeat. And that really hits on the other income line and you actually see it on – most of it on the walk on slide 16 of the positive $3 million currency. That's really what's predominantly hitting on that one.
Justin Bergner - Gabelli & Company: Okay. Great. And just one follow-up on that question. Did you guys detail or can you detail how much of the improved earnings guidance relates to currency changes since the last guidance was provided?
Philip D. Fracassa - The Timken Co.: Sure. I think the last guidance – I think we might have had it at around a 0.5 percentage point headwind and now we're guiding it to be relatively flat with the recent weakening in the U.S. dollar. So, on the top line, it's about, call it, a 50 bps improvement, I believe. And then on the bottom line, we do – we will feel that as a benefit on the bottom line and we've typically run – dropped through, if you will, on currency anywhere from 15% to 25%, depending on the type of currencies, et cetera, that are moving. So, it'd be a slight benefit top line and probably a slight benefit bottom line as well.
Justin Bergner - Gabelli & Company: Okay. Thanks very much for all the questions.
Philip D. Fracassa - The Timken Co.: Sure.
Operator: And we will now go to Ross Gilardi with Bank of America Merrill Lynch. Please go ahead.
Ross Gilardi - Bank of America Merrill Lynch: Hey. Hi, guys. Good morning.
Richard G. Kyle - The Timken Co.: Good morning, Ross.
Philip D. Fracassa - The Timken Co.: Hi, Ross.
Ross Gilardi - Bank of America Merrill Lynch: I just want to ask you about auto. I mean, I think in your slide, you've had auto sitting in kind of the neutral category now, or correct me if I'm mistaken on that. But it feels pretty clear, at least in the U.S., like the outlook has deteriorated. So, I'm just wondering, is your guidance factoring in the potential for things like extended summer shutdowns this year? Is the fact that you really haven't downgraded the auto outlook just sort of a reflection that your customers just haven't cut production yet? And I mean that would seem like it's pretty inevitable at some point. So, I'm just wondering, what kind of cushion you have in auto for your guide, if you see some of our bigger customers cut production?
Richard G. Kyle - The Timken Co.: Well, I would say it's, first and foremost, a reflection of our mix within the industry. So, we are heavier, light truck. Pick-up trucks in the U.S. would be our predominant, or strongest market position, and then even within that the mix that we're in. So, I'd say, that's first. Second, I think we have won some business there. It's not sizeable. And then we do have – that is a business that second half tends to be materially lower than the first half, and I think we have that factored in. So, I would say, we're running pretty much straight off industry numbers there and where we participate.
Ross Gilardi - Bank of America Merrill Lynch: Okay. Thanks. And then on Mobile, for the pricing actions that you're taking right now that could potentially influence 2018 positively, I mean is there any way to tell if you're getting competitive support on that? And what's your argument right now as you're talking to customers to be raising prices? I mean, clearly, demand is getting better, but I mean are you or the industry capacity constrained such that you actually have any real leverage in that discussion?
Richard G. Kyle - The Timken Co.: Yeah. So, there's a lot of answers to that, but I'd say, first, the part that's happening right now contractually automatically is material pass-through, right? So, scrap prices went up a lot since the 1st of the year and those will get pass through. Second would be, where we have the ability to go and have price discussions that we don't have things on contracts, that is not the – that's the smaller percentage, though, of the Mobile business. And then third piece would be, as contracts expire and/or as we win new business. So, we do not have to be capacity constrained to move pricing. We don't have to be capacity constrained to get a little more aggressive on quoting new business. And again, we're not talking massive pricing moves. We're talking about switching from netting a slight negative on price for the last few years to netting some positive after the material recovery. So, we've got to get the material recovery and then net a little bit of positive time. And I think there is enough market momentum there. As I said earlier, we're not looking at a huge move, besides the material recovery in the third quarter. And the bigger move would be heading into 2018 and some of those conversations haven't even started yet, because the contracts don't expire yet.
Ross Gilardi - Bank of America Merrill Lynch: Okay. Thanks, guys.
Philip D. Fracassa - The Timken Co.: Thanks, Ross.
Operator: And at this time, I'd like to turn the conference back over to Jason Hershiser for any additional or closing or remarks.
Jason Hershiser - The Timken Co.: Thanks, Vicky, and thank you, everyone, for joining us today. If you have further questions after today's call, please contact me. Again, my name is Jason Hershiser, and my number is 234-262-7101. Thank you, and this concludes our call.
Operator: Thank you very much once again. This does conclude today's conference call. I'd like to thank everyone for your participation.